Operator: Good day and welcome to the UTI Fiscal Fourth Quarter and Full Year 2019 Earnings Call. [Operator Instructions] As a reminder, today's conference call is being recorded. A replay of the call will be available for 90 days at www.uti.edu or through January 2, by dialing 412-317-0088 or 877-344-7529 and entering the passcode 10136811.At this time, I'd like to turn the conference over to Ms. Jody Kent, Vice President of Communications and Public Affairs for Universal Technical Institute. Please go ahead.
Jody Kent: Hello, and thanks for joining us. With me today, are our recently appointed CEO and CFO, Jerome Grant and Troy Anderson. During the call today, we'll update you on our fiscal fourth quarter and full year 2019 business highlights, our financial results and our vision for the future.Before we begin, we must remind everyone that except for historical information, today's call may contain forward-looking statements as defined by Section 21E of the Securities Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I'll refer you to today's news release for UTI's comments on that topic. The safe harbor statement in the release also applies to everything discussed during this conference call. As a reminder, UTI operates the fiscal year ending September 30th. All references to dates herein are on a fiscal year basis unless otherwise indicated.During today's call, we'll refer to adjusted operating income or loss, adjusted EBITDA, free cash flow and adjusted free cash flow, which are non-GAAP measures. Adjusted operating income or losses, income or loss from operations, adjusted for items that affect trends and underlying performance from year-to-year and are not considered normal recurring cash operating expenses. Adjusted EBITDA is net income or loss before interest expense, interest income, income taxes, depreciation, amortization and adjusted for items not considered as part of the company's normal recurring operations. Adjusted free cash flow is net cash provided by or used in operating activities, less capital expenditures adjusted for items not considered as part of the company's normal recurring operations.Management uses adjusted operating income and loss, adjusted EBITDA and adjusted free cash flow as performance measures internally, and those figures will be the figures discussed on today's call. Starting with the third quarter of fiscal 2019 and through fiscal 2020, we will report operating metrics such as student applications and starts, excluding our Norwood, Massachusetts campus. As we have shared previously, Norwood stopped accepting new student applications in the second quarter of fiscal 2019 and will fully close before the end of fiscal year 2020. So we believe it is appropriate to exclude its impact.It is now my pleasure to turn the call to Jerome Grant.
Jerome Grant: Thank you, Jody. Good afternoon, everyone, and thank you all for joining us today. Let me start by saying how honored I am to take the helm of this great company. And I want to thank, Kim McWaters for her leadership, unwavering confidence and partnership. As Kim will remain on our Board of Directors, I look forward to continuing to work with her. I'm excited to build on the work we've done to open new campuses, optimize our cost structure and as part of our transformation plan, reshape our approach to marketing, operational execution and industry engagement. This work is fueling our turnaround and has laid a strong foundation for the next phase of growth.At UTI, we are intently focused on building a profitable business that can thrive in any phase of the business or economic cycle, while also delivering a high value education to our students and meeting our industry partners acute need for highly trained technicians. We were successful in 2019, in the face of economic headwinds caused by the low unemployment rates, we delivered year-over-year revenue growth for the first time, since 2011. Student enrollment, student starts, revenue, profitability and cash flow, all performed at the high end or even exceeded our expectations.Revenue was up 4.6% in 2019, and we had 3.6% more students in school at the end of 2019, then at the end of 2018. Total new student starts were up 8.8% for the full year for a total of 11,652 new student starts. That top line performance coupled with our work to streamline cost, reduce our fiscal 2019 operating loss by $27.5 million from the year prior to a loss of just $7.8 million.Our three-pronged strategy, which includes our transformation plan, new campuses and programs and real estate footprint rationalization delivered these strong results and more importantly has positioned us for continued growth. Troy will provide more detail on our 2020 outlook, but suffices to say, we fully expect UTI to grow revenue, increase profitability and generate even more cash than we did in 2019.In 2020, as part of the transformation plan, we're continuing to refine marketing and admission strategies to attract new students. Ongoing growth in student applications indicates increasing interest in our programs, which we believe is driven in part by our thoughtful investment and our national brand awareness campaigns. This work is focused on reaching younger students, who are more inclined to pursue an education right out of high school, while adult career changers are more likely to skip school right now in favor of a job in today's robust economy.In addition, we continue to invest our marketing dollars to direct inquiries to our highest converting media channels, such as our recently redesigned website uti.edu. Today, we're consistently achieving our goal of generating more than 50% of our increase from these sources, which when combined with other improvements in marketing and admissions will allow us to increase the efficiency of our lead generation and improve our show rates. Case in point, consolidated show rates improved to 160 basis points in 2019.An increased focus on events and programs is also raising awareness of UTI and helping us highlight the ROI, we consistently deliver for our students. In 2019, we conducted more than 500 Future Tech Nights and Industry Days. These events allow students to explore careers, learn about our programs and meet our employer partners. Our campuses hosted the fourth National Open House, this past August. These events enable us to reach hundreds of potential students that we have not engaged with before. Our August Open House generated more than a 130 enrollments.Our Ignite program for high school juniors, which we piloted in 2017 and rolled out broadly in 2018, gained even more traction in 2019. Ignite gives potential students the opportunity to test-drive UTI before they start their senior year, entering credits towards future UTI courses. This summer, we had over 500 Ignite students, which is 38% more than the summer of 2018. The program is proving its power to generate interest and encouraged enrollment after students graduate from high school.In July, at our campus in Avondale, Arizona, we launched our groundbreaking early employment initiative, which matches students with potential employers as soon as they enroll at UTI. In September, our first pilot cohort of early employment students started school and they are on the job training. We will launch early employment program in Exton, Pennsylvania in February and employers are already signing up to participate. We planned to bring the program to additional campuses in 2020, on our way to offering it nationwide. When coupled with trip, which is our tuition reimbursement program offered by more than 4,600 of our employer partners around the country. This exciting new program makes our education more relevant, more accessible and more affordable.Turning to the second component of our growth strategy, new campuses and programs. Our most recent metro campus opened in Bloomfield, New Jersey in the fourth quarter of 2018, and ended its first full year of operations with more than 500 students. The Bloomfield campus is on track to exceed its initial pro forma objectives. Our metro campuses are very attractive to the increasing number of students who want to live at home, while they go to school and are more likely to pursue an education when they don't have to give up their job. To date, we've rolled out three metro campuses; Dallas, Long Beach and Bloomfield. Our metro campuses are typically accretive to earnings in the first 18 months and cash flow breakeven by year four.Regarding new programs, we're also happy with the performance of our new welding program. This program gives students hands-on training to work in industries from agriculture to aerospace. According to the US Bureau of Labor Statistics, there'll be more than 400,000 job openings for welders by 2028. As automated welding processes that use robots, lasers and electron beams become more common, welders with these advanced skills they learned at UTI will be in higher demand and earn even higher wages.Our three welding programs at our Dallas, Avondale and Rancho Cucamonga campuses are full or nearly full, and welding represents 4.5% of our total starts in 2019. Once our fourth welding program, which opens in our Houston campus in April of 2020 is fully ramped, we expect the four welding programs to account for more than 6% of our student starts. The success of welding demonstrates the important contributions, new programs make to the overall growth strategy through utilizing space in our legacy campuses and because student starts roll fairly evenly across all four quarters of the year. We are continuing to work to bring our highly successful welding program to more students and more campuses. We'll keep you updated as our plans progress.The third component of our strategy is rationalizing our national footprint. In our larger legacy campuses, we're consolidating or subletting excess space, offering new programs and where we can converting these campuses to the metro model. We've made significant progress in this area, which Troy will share with you along with details about our financial performance and our outlook for 2020.Our graduates continue to be in strong demand, in fact, employers have more job openings than our graduates can fill. According to the Bureau of Labor Statistics, 123,000 new auto diesel technicians will be needed every single year through 2028. Yet, in 2018, there were only 50,000 auto and diesel graduates from all training institutes combined. At the end of Q4, there will be more than three jobs posted on our job boards for each of our graduates. This demand translates into strong incentive for our industry partners to support and invest in our campuses, our programs and the success of our students. These industry partnerships are fundamental piece of the UTI model and a very strong differentiator and focus of our leadership team.We signed new workforce training agreements with Ford and Peterbilt during the fourth quarter of 2019. And moving into 2020, we're expanding our industry strategy and focus and working to deepen those relationships. We're asking ourselves and our industry partners, how can we make our work together more proactive, more innovative and more productive? What can we offer students that's beyond the traditional scope? How can we collaborate and what creative solutions can we deploy to attract more students and better serve the growing demand for skilled talent? We're at the very beginning of this work, but as we find the answers to these questions, we will share our plans with you.Employers also recognize and greatly value the skill set, work ethic and discipline that our nation's heroes gain while serving in the military, and our veteran graduates are increasingly high demand. Given this demand, we're innovating with our industry partners to reach and train more veteran students. In fiscal 2018, we worked with BMW to launch the career skills program on Camp Pendleton Marine Corps Base just outside of San Diego. This innovative program train service members on the base in the last few months of their military service and then transitions them directly into career path at BMW dealers as they transition to civilian life. Building on that program's success, we're working with BMW on a second on-based training program in 2020. We're also launching a new diesel training program at Fort Bliss in Texas in the spring in collaboration with the Penske Premier Truck Group.Before I turn the call over to Troy, I want to reiterate just how excited and optimistic I am about the business and its future. The power of our model, our people and our unwavering commitment to superior outcomes is evidenced by the fact that in the face of a macroeconomic environment that continues to be challenging for higher-education institutions nationwide, we, at UTI are turning a corner. Is there work left to be done? Absolutely. And we're clear-eyed about the challenges this industry continues to face. But we've seen what the company can deliver, we feel confident that with our three-pronged strategy in place and working, this business can achieve profitable growth in 2020 and for the years to come.And with that, I'll turn the call over to Troy.
Troy Anderson: Thank you, Jerome. As today's results show UTI has generated significant momentum improving its key business drivers and implementing efficient and effective operating processes. I'm excited to have joined UTI at such a critical juncture in its history, and I'm confident we can capitalize on this momentum and generate even more significant, long-term profitable growth, while continuing to provide superior technical education to our students and meeting our industry partners needs for highly trained technicians. Before I start, I would like to thank Scott Yessner, our former Interim CFO, for his partnership in ensuring a seamless transition.Now to the results. We ended fiscal 2019 with revenue of $331.5 million, up 4.6% as compared to last year and above the high end of our guidance. This was driven both by 2.5% higher average full-time enrollment and higher revenue per student. As Jerome mentioned, this is the first full year revenue growth, since fiscal 2011. Fourth quarter revenue of $87.7 million was the highest revenue quarter since the second quarter of fiscal 2016 and is seasonally higher due to more than 50% of our student starts being in the quarter. The fourth quarter, 9.2% year-over-year revenue increase reflects 4.2% higher average full-time enrollment and increased revenue per student.Let me spend a few minutes on our key student metrics of starts, applications, show rate and retention. Fourth quarter new student starts were up 10.4%, all three segments, high school, military, and adult showed year-over-year growth with high school representing over 70% of the starts. Military growth was particularly strong and the growth in the adult segment is notable given continued macro headwinds. In the quarter, 75% of our start growth came from existing campuses, which was very positive same-store growth.Our Bloomfield campus contributed the other 25%. Now the Bloomfield has been open a full year, it will have less impact on our start growth going forward. Full year new student starts increased to 11.5% and exceeded our expectations. For the full year, we also saw growth across all three segments with high school leading the way and good performance across adult and military. Full year same stores contributed 69% of our start growth with 31% coming from Bloomfield. The full year segment mix was relatively consistent compared to the prior year with high school representing over 50% of starts and increasing slightly due to the higher growth rate.Fourth quarter new student applications increased 2.4% year-over-year. Growth was driven by our high school segment, while we saw modest declines in military and adult. As we've discussed on prior calls, in military, we are experiencing pressure on base access and feeling the impact of soldier retention bonuses and veteran unemployment at all-time lows. In high school, increases in lead generation in applications reflect our new marketing mix, more rep generated leads, heightened focus on quick starts and expanded articulation grant programs. Full year new student applications increased 3.4% year-over-year.Similar theme this is Q4 with high school increasing and adult and military showing modest decreases. Our show rate improved 120 basis points in Q4 and 160 basis points for the full year. All segments showed improvement, which contributed to the higher starts particularly in adult and military. Improvements were driven by broad-based efforts, including refinements to grant and student contact strategies and increased effectiveness across our campus operations. We also saw improvement in our key student retention measures. The combination of higher starts and improved retention led to our overall average student increases.In addition to driving revenue growth, we continue taking significant steps to build an effective and efficient cost structure, with full-year operating expenses decreasing $12.9 million compared to fiscal 2018. This was driven by broad-based in durable cost improvements across many categories, with the primary drivers being targeted reductions in advertising and marketing, lower contract services due to the exit of our transformation consultant in the first quarter and lower compensation and employee-related expenses.In the fourth quarter, operating expenses decreased $9.1 million year-over-year. We ended the year with approximately 1,670 employees, which is roughly 130 fewer than a year ago. We achieved these reductions primarily through attrition and with continued focus on driving efficiencies across our operations.In the fourth quarter, as a result of the higher revenue and improved cost structure, operating income was $5.4 million, which was a $16.5 million improvement over last year's operating loss, in fact Q4 was the first quarter of operating income, since the second quarter of fiscal 2017. Adjusted operating income was $5.8 million compared to the prior year quarter adjusted operating loss of $8.6 million. Adjusted EBITDA for the quarter was $10.4 million, compared to a prior year negative adjusted EBITDA of $4.1 million. As a reminder, our adjusted operating results exclude the impact of the Norwood exit, Bloomfield start-up and cost associated with our transformation consultant engagements.In the full year end result, we improved our operating loss by $27.5 million versus fiscal 2018 to a loss of $7.8 million, and our adjusted operating loss by $23.9 million to a loss of $1.7 million, both exceeding our expectations. We delivered adjusted EBITDA of $17 million and adjusted free cash flow of $20.7 million, both of which also improved significantly from the prior year negative results with adjusted EBITDA increasing $24.7 million and adjusted free cash flow increasing $34 million. The cash flow improvement was better than our expectations and was driven by the increased profitability and increased deferred revenue associated with our Q4 new student starts. We ended the year with a strong balance sheet, including $65.4 million of unrestricted cash and we continue to operate without the need for bank, the third-party debt.Before I discuss our 2020 outlook, as Jerome mentioned, over the last few years, we have conducted successful rightsizing and optimization initiatives at several of our legacy campuses, with the most recent being at our Exton, Pennsylvania campus, where we are reducing our footprint by approximately 71,000 square feet. The rightsizing of Exton will generate approximately $1 million of operating efficiencies in FY '20, and will increase to $1.8 million by fiscal 2021, without compromising our ability to serve students and industry partners in Pennsylvania and surrounding states.Upon completing the Exton rightsizing, we will have achieved over $4.5 million of annualized real estate cost improvements. It's important to note, these initiatives extend far greater than just reducing our footprint. We have opened new programs like welding and CNC machining and several of our existing campuses and we are also increasing the density of existing campuses. As an example, through innovative solutions, our Dallas team has increased space utilization in such a way that we can support over 50% more students than we originally envisioned at the campus. This drive significant improvement to the student experience, higher engagement and interaction throughout the campus, while also improving our profitability. While much work has been done to date, these efforts are ongoing as we have multiple opportunities for incremental efficiencies throughout our real estate footprint. We will provide further updates on these efforts as new information becomes available.As we discuss our fiscal 2020 expectations, one important note is that we adopted the new FASB lease standard under ASC 842 effective October 1st, 2019. As such, our operating expenses, operating income, adjusted operating income and adjusted EBITDA all reflect impacts from the change in treatment on certain build-to-suit leases. I will call out these impacts as I speak to the respective metrics. It's important to note, these are all non-cash impacts, additional details can be found in the press release.Now, look at our full-year 2020 expectations. New student starts are expected to grow between 2.5% and 4.5%. As a reminder, with our starts having an overall higher mix of high school students in much of our start growth coming from this population, over 50% of our new student starts will occur in our fourth fiscal quarter. Additionally, we have fully lapped the Bloomfield campus opening. Given both of these factors, we are expecting more tempered start growth in the first half of fiscal 2020. Another item of note, we expect to see a higher mix of starts in Q3 of fiscal 2020 versus fiscal 2019, due to a start date shift between July and June.With our continued start growth, we expect a 1% to 2% year-over-year increase in our average student population. We expect the second consecutive year of revenue growth with total revenue ranging between $338 million and $345 million. This equates to year-over-year revenue growth of 2% to 4% and includes an estimated 100 basis points to 150 basis points net negative impact from the Norwood campus exit.For operating expenses, we will see the flow-through of our fiscal 2019 cost improvement actions, in addition to incremental improvements, resulting in operating expenses ranging between $330 million and $335 million. The higher revenue and lower cost structure drive our operating income expectation of between $8 million and $13 million and adjusted operating income of between $13 million and $18 million, both very measurable improvements over fiscal 2019. Pre the new lease standard, operating expenses would be an estimated $1.6 million lower, while operating income and adjusted operating income would be an estimated $1.6 million higher.Adjusted EBITDA is expected to range between $26.5 million and $31.5 million. Pre the new lease standard adjusted EBITDA would be an estimated $5.2 million higher, or $31.7 million to $36.7 million. Adjusted EBITDA, adjusted operating income and adjusted free cash flow for fiscal 2020, reflect adjustments for the negative impacts associated with the Norwood campus exit and approximately $1.5 million of costs related to our CEO transition.As a result of the improvements in profitability and continued focus on efficient use of our cash, operating cash flow is expected to range from $28 million to $33 million. Capital expenditures are expected to range between $8 million and $9.5 million. Adjusted free cash flow is expected to range from $23.5 million to $28.5 million. This strong cash generation supports the company's ability to continue a disciplined capital deployment strategy focused on high ROI investments, including identifying new growth opportunities and strength in its regulatory financial ratios.One additional comment about fiscal 2020, the Norwood campus teach-out and facility exit are proceeding as planned. We expect to complete the teach-out and vacate the facility during the fourth quarter. I'm excited about our plans for fiscal 2020, and the opportunities that lie ahead of us. I'm also very encouraged by the efforts from everyone across the UTI team to drive continuous improvements in our financial and operating performance, as well as their passion for supporting our students and industry partners.With that, I'll now turn the call back over to Jerome.
Jerome Grant: Thank you, Troy. In closing, I'd like to thank everyone on the phone today for their continued support and welcome new faces and interest. Both Troy and I, are committed to expanding UTI's engagement with Wall Street community. As part of this, in the near-term, we're planning meetings with investors and analysts. Please reach out to our Investor Relations firm, LHA, if you'd be interested in meeting with us.I'd like to take a moment to thank the entire team here at UTI for their continued hard work and success in attracting more students, achieving increased efficiency and improving outcomes for our students. This combination is rarely seen much less achieved.Our customers served has also improved as we remain focused on supporting our students on each step of their path towards successful careers. We have made significant progress in many elements of our growth strategy. And in 2020, we'll work to further refine our efforts. We are focused on managing our own destiny with eyes on elements that are under our control, such as maintaining strong regulatory compliance, deepening our relationship with manufacturers and employers and providing industry-leading technical education that continues to place our graduates in such high demand.In 2020, we will begin to fully realize the benefits of our work. To optimize our business model, we will further refine the durable cost structure reductions executed in 2019, and we expect steady growth on student metrics, which will drive measurable improvement to cash flow and operating results. In our current operating model and with the continued refinements, we expect to make -- we believe, we can grow revenue, profitability and cash flow consistently going forward. Longer term, any change in the macroeconomic environment would further improve our expectations as we have the financial resources and infrastructure to further benefit from any tailwinds that would likely result.Thank you again for your time today. We hope you all have a great week and a wonderful holiday season.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.